Company Representatives: Martin Migoya - Co-Founder, Chief Executive Officer Juan Urthiague - Chief Financial Officer Patricia Pomies - Chief Operating Officer Diego Tartara - Global Chief Technology Officer Amit Singh - Head of Finance for the U.S. and Global Head of Investor Relations
Amit Singh: Good day, and welcome to Globant’sThird Quarter 2021 Earnings Conference Call. I'm Amit Singh, Head of Finance for the U.S. and Global Head of Investor Relations. All participants on this call will be on listen-only mode. [Operator Instructions]. Please note, this event is being recorded and streamed live on YouTube.By now you should have received a copy of the earnings release. If you have not, a copy is available on our website, investors.globant.com.  Our speakers today are Martin Migoya, Co-Founder and Chief Executive Officer; Juan Urthiague, Chief Financial Officer; Patricia Pomies, Chief Operating Officer; and Diego Tartara, Global Chief Technology Officer. Before we begin, I would like to remind you that some of the comments on our call today may be deemed forward-looking statements. This includes our business and financial outlook and the answers to some of your questions. Such statements are subject to the risks and uncertainties as described in the company's earnings release and other filings with the SEC.  Please note that we follow IFRS accounting rules in our financial statements.During our call today, we will report non-IFRS or adjusted measures, which is how we track performance internally and the easiest way to compare Globant to our peers in the industry. You will find a reconciliation of IFRS and non-IFRS measures at the end of the press release we published on our Investor Relations website announcing this quarter's results. I’d now like to turn the call over to Martin Migoya, our CEO.
Martin Migoya: Thanks Amit, and hello everyone! It is a pleasure to be here with you again after another exciting quarter a Globant. In Q3,2021 Globant’s revenue totaled $342 million. This represents 65%year-over-year growth. We aim to close this year with an annual revenue more than 56%above last year. This will be our highest year-over-year growth ever as a publicly traded company.  We also remain very positive about future growth prospects. The pandemic was an inflection point in the month for digital transformation. In this new face, we believe that organizations will increase their demand for partners that can help them remain relevant, agile and resilient. IDC estimates that by 2024 digital transformation spending will make up 55% of all technology investment worldwide reaching $6.3 trillion between 2022 and 2024.  For the first time ever over 50% of global companies will have an enterprise wide digital transformation strategy. This is a huge opportunity for us. We'll continue to move up the value chain and provide more complete array of end-to-end transformations with growing capabilities and boosting our offering. Now I'd like to shine a spotlight on three mega trends that are reshaping our world and how Globant is addressing them. First, artificial intelligence: As we have been sharing over the past quarters,this disruption is affecting nearly every process the organizations have. Here at Globant as you may know, we apply AI to almost everything we do, from coding to mitigating bias in recruitment to sharing knowledge. Most recently we helped launch Augmented Testing. Augmented Testing is a tool that improves the quality assurance process with AI.  As an example,imagine testing a video game that is almost ready to go to market, millions of lines of code,thousands of visual elements that need to be rendered perfectly. Errors can ruin the experience for loyal gamers, for everyone. A manual testing is very time consuming. Through computer vision and neural networks we enabled visual validations in a more efficient way, previously these have to be done manually by QC teams. From games, to apps to web based solutions, Augmented Testing applies AI to test smarter, not harder. We are already implementing this product with our long time clientRockwell Automation among others to benefit their time-to-market efficiency.  The second megatrend is Blockchain: According to IDC, organizations are forecast to spend nearly $6.6 billion on Blockchain Solutions this year, 50% more than in 2020. While many have long associated Blockchain with crypto currencies, the technology offers the possibility to make radical changes across multiple industries. First, it can provide decentralized financial transactions of course, but it can also offer secure and decentralized ways to store and share information such as health, property and occation records. It has have even taken the world by surprise with the rise of NFTs, and right now there are discussions about how Blockchain can impact AI by having shared the centralized data models. These are reasons where at Globant we are placing such an important emphasis on it. To continue expanding our Blockchain studio, this quarter we announced the integration of Atix Labs, our first Blockchain specific acquisition. Founded in 2013 Atix Labs has operations in the United States, Argentina and Uruguay.It also has a solid brushing pipeline with Fortune 500 clients,top global players in the crypto space and organizations such as the IDB. By bringing them on board, we are empowering our Blockchain and crypto related solutions.  And finally the Metaverse. We can now create virtual and more realistic representations of ourselves as aviators,much more precisely and efficiently as you are seeing on screen. And many spaces like Fortnite and Roadblock already exceeds that enable the creation of new worlds and experiences.  Some brands are slowly tapping into this. As technology continues to evolve, it is exciting to imagine more organizations will be able to do.To address this growing trend, we recently launched the Metaverse Studio. This studio is anchored on our expertise in gaming, blockchain and customer experiences. The goal is to work with organizations to extend their presence,offering and creativity through new digital spaces. This maximized customer and employee engagement.  We want to help brands to reinvent how they connect with their consumers, as well as enable the surge of new breed of fully digital players. With these trends, I believe that there has never been a more exciting time to work with technology.  Technology has the power to produce, great and positive impact in the world; however,we still need to be vigilant and mindful of how the technology can affect our communities. On that note, Globant was proud to participate in the COP26 UN Climate Change Conference in Glasgow. Through leading the conversation on technology's role in fighting climate change,we are presenting our disrupted work in sustainable technology. Additionally, following our Be Kind To the Planet commitment, we are happy to say that we recently achieved our objective to become completely carbon neutral. The effort goes hand-in-hand with our commitment to science based targets,where we are setting the trajectories for reducing emissions through 2030.  In Q3 we also joined a steering committee of the Green Software Foundation. Members are committed to work together to build sustainable software that helps reduce carbon emissions. We're proud to be part of these relevant project as it brings together major players of our industry. All these initiatives are a great source of pride within Globant.  Now let me share with you an important project that we have just announced aligned to our Be Kind vision. As I said earlier, we believe that tech is inherently good and improves lives. It connects us sports innovation for the greater good and enables reinvention. However, when misapplied, misused or used excessively, its impact can be negative. This needs to be addressed to ensure tech is good for humanity.So that's why we recently launched a $10 millionventure fund called Be Kind Tech Fund.  The goal is to provide funding opportunities to start-ups that developed technology and applications to tackle the misuse and abuse of technology in society. The fund will focus on providing investments ranging from Seed to Series A. To reconsider and select it, we will evaluate the purpose and ability of each prospect to make effective changes in user behavior and multiply good practices.The scope of these debates and the focus of the fund is broad. It can range from preventing texting and driving to solutions that can mitigate screen time abuse. You can find more about this initiative and requirements for start-ups, atwww.bekindtechfund.com.  Last week Globant had the honor of bringing together some of the most thought provoking innovators in the world today,at our Annual CONVERGE event. Under the theme of the power of invention, the forum notable speakers included Yuval Noah Harari, Will.I.Am, CathyHackl among many others. The evened was hosted by James Corden, with whom I had a great time discussing the latest transformational tech trends. More than 50,000 people register to learn more about the future of technology and how it will impact our world. I invite you to relieve it by visiting converge.globant.com. Finally a recent development that will be a great asset for our future expansion. A few days ago we announced the acquisition of Navint. They have deep know-how in improving business processes, strategy and technologies across every stage of the company lifecycle; sales, service, finance and delivery. Navint has more than 130 employees in the U.S. and in the U.K.and a profound salesforce expertise. Their lead to revenue capabilities will help us reinforce our focus on reinventing company's internal strategies to enable a complete transformation. Navint’s presence in the U.S. will allow us to continue growing in our largest market.We are very happy to have them on board. Welcome! Now as we look forward, I'd like to share the pillars of Globant’s strategy in the next stage of our growth story. First, reinforcing our studio offering: We will continue to focus on compounding the knowledge and capabilities of our studios of expertise.To complement our digital studios, we're launching a new platform, our Reinvention Studios. They will work with our clients to disrupt their entire industries. Our CTO, Diego Tartara will later go into finer details on this endeavor. Second, a greater offering of products and platforms through Globant X. We'll continue expanding our portfolio to complement our service offerings. Our approach such as StartmeUp and Augmented Coding will be given greater autonomy. We want their teams to iterate directly and rapidly with the end users, that way they will be able to grow and improve faster.  To foster this new expansion phase, we recently created Globant X first innovation hub in Maldonado, Uruguay. We opened a new global office there and areexpecting over 150 professionals to work there in 2022. And finally, our geographic expansion. This will be later explained by Patricia Pomies, our Chief Operating Officer. Now, I'd like to turn it over to Diego Tartara our Global GTO to go over the focus on our new and exciting technology offering.Diego please, and thank you very much. 
Diego Tartara: Thanks Martín. Hi everyone!Great to be here again. As Martin mentioned, I hope you were able to enjoy CONVERGE last week. It was a fantastic event where we discussed many of the latest trends.These trends are reshaping experiences and opening new doors for industries to radically change how things are done.  As organizations and industry get ready to face more challenges to reinvent themselves to adopt, we have decided that this is the right time to expand or studio model.As you may know, our digital studio is having the trade market of how we deliver quality services over the years. They are deep pockets of expertise with diverse and multi-industry teams.Our studios cross-pollinate in order to provide with robust and well-rounded solutions for our clients. As we have continued to grow, and the nature of our services has become more sophisticated, we see the opportunity to apply or acquire new learning to reinvent entire industries. That's why I want to present our new Reinvention Studios. This new type of studios will lean on the technology expertise of the digital studios to build practices that will enable profound industry transformation. Today, I'm happy to announce that we are launching three new Reinvention Studios focused on financial, travel and hospitality and airline sector.These studios complement our existing portfolio that includes gaming, media and entertainment and life sciences.We will continue evolving our offering in the next months.  Now let me zoom in the new Reinvention Studios. First, the Bluecap Future Finance studio. The financial services industry is going through an unprecedented transformation. Players in the space must either disrupt or be disrupted. That's why Globant is using its digital expertise in the industry with Bluecap’s Financial services portfolio. The studio will boost new business model and strategies while enhancing the experience of customers.  Now, let's go into the Travel and Hospitality studio.The new guest expectations for personalized digital interaction are here to stay. We focus on reinventing how brands engage with their guests and design memorable and fulfilling experiences.We leverage the latest trends and technologies to help companies create a frictionless customer first approach that deliver relevant and context appropriate experience to their guests.The airline studio addresses specific challenges brought in this sector.  With an exceptionally complex business landscape, we’ll leverage our expertise to help a highly competitive and regulated industry reinvent. We drive digital transformation by putting the passenger experience front and center of all strategies and boost business.We empower passengers to manage the complete life cycles of their journey in a highly personalized manner, maximizing conversion and ancillary revenue.  The combination of our expertise brought by the digital and Reinvention Studios enable us to deliver comprehensive digital and cognitive transformation to organizations throughout the world. Let me share some examples of work that we are executing. We are working on the modernization of Lending's Clubtechnology stock.Lending Club is emerging from a peer-to-peer lender to a full digital bank and Globant is providing the needed digital horsepower and financial sector know-how to help support their evolution to new products and services grow. We work with PayWorld [ph] to take their fitness platform to the next level.We help them to deliver a unique value to their members globally, making a complete shift to digital. In Q3, 2021 we release a brand new experience and work out designed to help women keep training with their personalized routines.  In the U.K. we have begun a new project with one of the largest housing associations in the country, the Hyde Group. The group owns over 50,000 properties and provides homes to 100,000 people. Globant is helping Hyde Group in their digital transformation journey, while improving the customers self service capabilities and agent experience using sales force, multi cloud products. In Brazil, Globant was chosen as a strategic partner for NC Pharmas [ph]digital transformation process. We're creating a data link that will take the company to a new level. This project brought a journey into the world of data, involving about 40 domains and areas such as legal, HR, sales, marketing intelligence and more. The goal is to democratize data access,start their AI journey on improve their operations. We believe that several technologies will continue to disrupt the future.  As Martin mentioned, AI, blockchain and metaverse are some of the trends that will be key drivers for our evolution. And while some of the reasons for these are years in the making, companies have to build their foundations now. They have to prepare their infrastructure and data, as well as work on virtual and physical experiences. Before I hand it over to Patricia, I'd like to invite you to read the latest Sentinel report thatcovers opportunities that Smart Venues present.You can access all the information in sentinel.globant.com.  I would like to now hand it over to Patricia Pomies, our COO. 
Patricia Pomies: Thank you, Diego. It’s a pleasure for me to be with all of you today. I'd like to begin by sharing our vision of our Globant growth, both in our talent and our client markets. Since Globant was founded, our dream has been to grow where the talent is. So instead of pushing professional to move to the bigger cities to access global careers, we have open delivery centers in smaller, closer cities and brought the opportunities to them.  Nowadays we have continued this strategy. In the recent months we have announced new offices in Callie, Columbia, Viña del Mar in Chile, Arequipa in Peru, Montevideo in Uruguay, Monterrey in Mexico and Argentina. In addition, we will further consolidate our leadership in Latin America by entering new markets in the region. Most recently we announced our new operations in Costa Rica.  In Asia, we continue to grow as well. I’m glad to share that we have passed the milestone of over 3,000 Globers in India. This is more than doubled than last year,and up to 26% since the last quarter.This makes India the fastest growing talent center in Globant. I am also happy to see our growth in Europe.We have recently announced great expansion plans for the United Kingdom. Over the next three years we are going to invest GBP 65 million and hire 600 new Globers. Our London offices will become the Globant Knowledge Hub of our Sustainable Businesses Studio. This investmentsare key to support our growth in the region for the upcoming years. Overall for Q3, our hiring remained very robust and we finished the quarter with 21,849 Globers. Of this figure, 20,573 are technology, design and innovation professionals. 2,223 of the new hires in the quarter were IT professionals up 53.1%year-over-year.Attrition for the past 12 months was at 18.4%, slightly higher than our target range of 15.5% to 17.5%. This increase is largely attributed to the very strong demand for talent, as we move into the post pandemic phase. That's sad!We are now seen a stabilization in our attrition rates. Our value proposition to our employees continues to be very, very appealing. As a reflection of this, we have received several awards in the past month.  In Colombia, the organization Great Place To Work awarded as the best work place of 2021. This is a great recognition, especially with Columbia being one of our largest talent markets with nearly 5,000 Globers. In Peru, Columba and Chile the Organization Employees for Year chose Globant among 700 companies as the number one company to work for. In Chile the ESC Business Schoolnamed us the most innovative company for 2021.  Now a snapshot of the make-up of our client revenues.The Walt Disney Company continues to be our largest client, growing this quarter at 74%year-over-year and 24% quarter-over-quarter. We are very well diversified within Disney.We serve the majority of its business units and we continue to expand in new areas.  The rest of our accounts collectively grew 63.8%year-over-year and 10.6%quarter-over-quarter. We continue to experience momentum in most industry verticals. Moreover, we are taking advantage of the networks of the company we have recently acquired to cross sell our services. Regarding the progress of our 100 square strategy during the last 12 months, we have 11 accounts that brought in more than $20 million of annual revenue, compared to five from last year. We also had 162 customers with more than $1 million of annual revenue compared to 118 one year ago.When we look at our regions, in Q365.2% of our revenues were from North America, 22% in Latin America and others, 11.1% in Europe and 1.7% in Asia. Coming up on December 10, theWomen that Build Awards Gala will take place where the winners will be announced.We want to support, recognize and give visibility to the women who are challenging the status quo.  This second edition was held in light of the success from last year, and we are really happy with the participation so far. We received more than 1,600 nominations from women leaders from all over the world and over 70,000 votes. I invite you all to join us on the 10th. You can learn more about this in womanawards.globant.com.  With that, I’ll hand it over to Juan to discuss the financials. Juan, please. 
Juan Urthiague: Thank you and good afternoon everyone. I hope you're all doing well.Let me start by summarizing the results of our third quarter 2021. I will then discuss our guidance for the fourth quarter. We are very pleased with our overall results for the third quarter of this year, as our business continued to show robust momentum.Revenues for Q3 were $341.8 million,representing 65%year-over-year growth and 12% sequential growth.We are delighted that Globant continues to deliver industry leading growth and we expect this trend to continue.We estimate organic revenue growth for the quarter to be above 52%. As discussed in our last earnings call, the business environment is largely back to pre-COVID levels and our Q3 results, our robust pipeline make us believe that the demand for our services and platforms is stronger now than before the pandemic. We feel confident in delivering robust an elevated levels of growth in the upcoming years. Turning now to profitability, our adjusted gross profit for the period increased to $136.1 million, representing 39.8% adjusted gross margin, 80 basis points improvement compared to the third quarter of 2020. Adjusted operating income for the quarter amounted to $56.3 million or 16.5% of revenues compared to $31.6 million or 15.3% of revenues for the third quarter of 2020.  Demand and pricing environment continues to be strong, allowing us to offset inflation in the labor market and we are also able to drive SG&A efficiencies with our increasing scale. This, together with our growing exposure to services, products and platforms that will help us break revenue and employee growth linearity will continue to help us deliver healthy adjusted operating margins, while maintaining strong investments in the company to capitalize on the massive opportunity in front of us. Our IFRS effective tax rate for the quarter was 21.6%, below our guidance as inflation adjustments drove taxes lower than our initial expectation in certain geographies.Adjusted net income for the third quarter of the year totaled $41.9 million, representing 12.3% adjusted net income margin compared to $23 million, representing 11.1% adjusted net income margin for the third quarter of 2020. Adjusted diluted EPS for the quarter was $0.98 based on 42.8 million average diluted shares for the quarter compared to $0.56 for the third quarter of 2020 based on 40.8 million average diluted shares for the quarter. Adjusted EPS for Q3 implies a solid 73.5% year-over-year growth, and 850 basis points above our robust year-over-year revenue growth in the quarter.  Moving on to the balance sheet, our cash and cash equivalents and short-term investments as of September 30, 2021 amounted to $482.6 million. During the third quarter we generated strong free cash flow of $71.2 million versus $21.6 million in the third quarter of last year. And our free cash flow to adjusted net income was around 170%. During this quarter we paid $44.1 million for acquisitions. Currently our credit facility is fully undrawn. We continue to successfully execute on capital allocation strategy, with integrations of recently acquired companies going as planned. Now, I would like to talk about our guidance for Q4, 2021. As discussed, the demand environment remains roust. Based on current visibility, we expect Q4, 2021 revenues to be at least $359 million or 54.3% year-over-year growth. At this point we do not expect any FX impact to our fourth quarter revenues. Our fourth quarter revenue guidance implies full year revenue guidance of at least $1.276 million or 56.7%year-over-year growth versus prior guidance of at least $1.236 billion or 51.8% year-over-year growth.  Q4 adjusted operating margin is expected to be in the 16% to 17% range, implying full year 2021 adjusted operating margin guidance range of 16% to 17% as well versus prior guidance range of 15.5% to 17%. IFRS affected income tax rate is expected to be in the 22% to 24% range for Q4, 2021. Adjusted diluted EPS is expected to be at least $1.01 assuming for a 2.9 million average diluted shares outstanding for the quarter. This implies full year 2021 adjusted diluted EPS guidance of at least $3.70 versus our prior guidance of at least $3.58. Thanks everyone for participating in the call, for your coverage and support. 
A - Amit Singh: Thank you, Juan. So as we have done in the past, as we go through the question-and-answer session of this call I’ll announce your name. At that point please unmute your line and ask you questions. But please remember to mute your line after your question is done. We also ask you to please limit your time to one question and one follow up. Thank you very much. So the first question today comes from the line of Tien-Tsin Huang from J.P. Morgan. Tien-Tsin, please go ahead.
Tien-Tsin Huang : Thank you, Amit. I want to ask just on the demand side, things are great, sounds like pricing is in a good place as well, your gross margin came in quite strong, but you're rolling out some news studios, you're still hiring very, very aggressively, you're integrating acquisitions. Has your thinking around margin changed sort of in the mid-term, I know 16% to 17% you land nicely in that zone as the guidance suggests, but are you thinking that there's more need to invest at this stage or to sustain this kind of growth. Just curious what the thinking is there. 
A - Martin Migoya: Thank you, Tien-Tsin. How are you? Look, I think that the strength of the business at this point allows us to keep on expanding and investing, while maintaining the level of credit margins that you are seeing right now. We continue to see 16% to 17% as a good number for the near future. It allows us to keep on investing aggressively on the business, expanding to new studios, new geographies. So basically we do believe that that's a number that we can sustain in the near term. 
Tien-Tsin: Okay, great. Then my follow-up, just with some of the new studios, I know the last couple of acquisitions a little bit different, so I'm wondering if the revenue per employee model here is different. I would imagine it's going to be higher, but just curious how that cycles into the outlook? Thank you.
A - Martin Migoya: Yeah, I mean the last two deals that we did, I mean the ones that we just announced, Atix, [inaudible] company and Navint, lead-to-revenue company. The second one is more U.S. based and U.K. based, so the revenue per head is higher, still it's a very small acquisition, right. It's about 130 people, so that doesn't necessarily impact the revenue per head. But we do see revenue per head moving up as new deals reassigning and ongoing discussions in terms of pricing kick-in and eventually that should drive revenue per head up in the near future. And then – you know that's pretty much the answer in terms of how that's going to impact revenue per here at this point Tien-Tsin. 
Tien-Tsin: Great, great results guys thank you. 
Amit Singh: Thank you very much Tien-Tsin. The next question comes from the line of Ashwin Shirvaikar from Citi. Ashwin, please go ahead.
AshwinShirvaikar: Hello folks! Congratulations on the good solid quarter. You guys did mention obviously that the level of the – just the demand trends continue to be strong and should be at sort of a heightened range for sometime to come. You know not really looking obviously for 2022 guidance, but in the past you have indicated that mid-20’s type of level that’s possible. Are you now thinking potentially higher than that, and certainly the headcount increases would suggest that you can actually support much higher growth rate. So can you kind of pull that together for us and talk about what’s achievable?
A - Martin Migoya: Yes, so thank you Ashwin for the question. I mean yeah, business continues to be very, very strong. Even though it's still early to discuss in detail 2022, what we can say at this point is that you know last quarter we did mention 23%, 24% organic plus one coming from acquisitions that we have done up to that point. Now we are able to increase it slightly, that number, even though as I say it is still very early and we will provide detailed guideline in February. We do see you know 24% to 25% organic plus around 2.5% coming from the recently deals that we just announced as a possible number for next year. I mean on the labor market, as you said you know, we have been hiring very strongly during this year. I mean it seems I would say since Q2 last year, which was the quarter of the pandemic, every quarter since then we have had very strong hirings and again you know the market, of course there is a lot of competition, but we do see and we do believe that we have a very attractive value proposition for employees. We will continue to attract talent in an aggressive way. Q4 might be a little bit lower in terms of the natal issues, because we have New Year and the typical seasonality that happens and people will go on holidays, especially because of you know how the last year was basically. But again, we continue to see good traction in the market, we continue to still see our name, our brand as a preferred option in many of the countries where we are operating. And again, there is competition yes, but we do believe that we have the right recruitment, recruiting power and the right brand and the right projects and the right technologies to continue attracting talent.
AshwinShirvaikar: Great! And as a follow up you know, when you look at the top clients that you have, Disney obviously leading the pact, but as you look at them and the path that you had in terms of, let's call it wallet share gains at those clients, is that maybe indicative of this repeat plan you can follow that maybe accelerates your 100 square plan. 
Diego Tartara: Okay, I think – hi Tien-Tsin, how are you? Sorry, Ashwin… [Cross Talk] normally, I enter into the batch one you know. We enter into the batch one with Tien-Tsin, okay sorry. No, I think the demand is still very solid. In all our key accounts we have seen the numbers of Disney, which are pretty impressive and they are really mind blowing. I would say that it is not of course possible to keep that you know impressive performance moving forward. But yes, we feel that pretty much all our largest customers are in the mood of changing and improving and spending more money on their digital transformation.  I don't see that trend changing right now, because you know they are not ready yet and they need to keep on doing things. And that is not just the domain of the large brands, but also a domain I would say of our smaller customers, not smaller customer, smaller brands too. I mean there's pretty good consensus around, but the demand is still there, it’s very strong and it will keep on being strong during next year.  Now, you know you can never predict anything here, but as of now, the consensus within Globant is that demand will keep on being very strong during this last quarter and at least you know the first portion of next year and then we'll know, but in my opinion it will keep on being very strong during 2022 too. 
Amit Singh: Perfect! Thank you very much Ashwin. Next, we'll go to Bryan Bergin from Cowen. Brian, please go ahead. 
Bryan Bergin: Alright, how are you guys? Thank you. So I wanted to dig in a little bit around the India base. So I heard you mentioned 3,000 Globers, up 2x, your fastest growing talent center. Can you talk about the financial implications of that as you grow in that country, as it may relate to consolidated per capita revenue and margins? And is that exposure a bigger factor in the uptick of attrition recently in the short term here?
Martin Migoya: Look, the first part of the question you know, India has continued to show very, very good momentum for us. As you know we started that operation at several years ago through an acquisition. As of now, you know the talent development center from India, its 100% fully integrated in our day-to-day operation and as we become more and more global, many of our customers you know ask us for, you know well projects and sometimes we decide to staff them out of our India TDC. In terms of revenue per head, India might be slightly below some of the Latin American countries, but it's not really a big difference. So we don't really see an impact on the revenue per head coming from there. In terms of margins, it is slightly not profitable than other locations. At the same time I think that today you know we hire senior people, we hire people with over time the cost of that people becomes more and more globalized in a way. So I don't think that looking at you know a talent development center, right, the talent development center is going to really help. I think we need to think about the company on a consolidated level and eventually as we move forward, one of the things that we learned from COVID is that people can be anywhere, what matters are the skills and we will see over time I think the cost of people from all over the world, you know going to a certain mean. So we don't really see revenue per head being significantly impacted. We also don’t see margins significantly benefited from that in the medium and long term. You know short term you may have it different there, but that's basically the answer. As for attrition, still attrition is driven by Argentina where you know the macroeconomic tends to push people to get sometimes other opportunities in smaller companies, which sometimes are enabled to attract them. But I don't think – it’s not India that’s driven up the consolidated attrition as a whole. I mean the market has halt everywhere, but at the same time that you know attrition came up a little bit above our expectations. We do believe that it has been stabilizing more recently and we do think that over time we will take it more to the target range that we always provided, and the attrition situation as I say is not driven by one specific country, but when we look at Globant, the one country with more attrition is Argentina, it's not India.
Bryan Bergin: Okay, thanks for that one. And then recent deals like Walmeric and Navint and I guess Avanxo in the past, they seem to be somewhat more closely related to some packaged SaaS versus complete custom development. I’m curious if that is something we should continue to expect from you. And aside from sales force, are there other SaaS ecosystems you think are very attractive right now where you have penetrated?
A - Diego Tartara: Yeah, sure. Thank you for the question Bryan. I think that there's some momentum happening on the sales force space in particular, because you know the demand is very high and it’s a platform that is really broadly adopted by many people. That doesn't mean that we don't develop custom solutions in that case, because in every implementation there’s a lot of custom implementation, custom development, custom connection with internal systems of the companies and this is where we're doing our magic there. I think this is a pretty special part of the digit transformation and we’ll keep on investing on that specific front.  I think in the case of Walmeric, it is slightly different. I mean there we enter into more the cycle of conversion of leads into real sales, and that's something that is not the same thing as the CRM, but it’s how you monetize the leads that your producing through the traditional internet marketing stuff. With that we have a specific solution for them, we have a specific solution that can – for our customers that can accelerate that conversion, and it’s a specific play that we have not seen in many different platforms, on how to make more efficient that conversion from digital marketing into real sales. So the short answer is, yes, we will keep on investing in more software as a service platforms, but always we remain -- with the concept in mind that in each of them we need to develop many new things to be able to connect those platforms to the current stack of technology that they have. 
Amit Singh: Thank you very much Bryan. The next question comes from Maggie Nolan from William Blair. Maggie, please go ahead.
Maggie Nolan: Thank you. Great to see you guys!
A - Martin Migoya: Hi Maggie!
Maggie Nolan: So you're expecting several years of elevated growth. Is this consistent across your different geographic exposures or is there a particular geography that you think can be an incremental growth driver?
Martin Migoya: I don't know, Pat do you want to take it?
Patricia Pomies:
– :
Martin Migoya: And Pat, that answer – the growth that we have been seeing has been pretty much across every region, and when you see for example Latin America like you know growing organically in a pretty solid manner, but also Europe, but also United States, so it's all over the place. Its across pretty much all geographies. And together with what Pat was saying, which is you know keep on exploring other destinations to grow our talent, I would say that this is like a pretty good picture of how we are thinking. Is growth coming – of what we are leading, growth coming from pretty much everywhere and reacting and growing our talent base pretty much everywhere and expanding everywhere we can.
Martin Migoya: Yeah Maggie, when you look at the numbers, you know the size of our business in Europe, it's still very small.The size of our business in Latin America, even though it's been growing, it is still small right. So the opportunity is massive for both regions. The U.S. of course as you know it's pretty much limitless, so future opportunity there.  And finally Asia, you know we are doing about $5 million, $6 million right now per quarter in Asia, and again, that's another opportunity right? I mean we don’t need to forget. I mean we are still not specifically pursuing that, but you know all of a sudden we really have $20 million to $25 million a year run rate. And again, as we become more global, we work for global companies and we have global talent development centers, that leads to opportunities in other regions than the typical regions that we have been targeting. So again, massive overall and global market opportunity and we do see growth coming from all regions Maggie. 
Maggie Nolan: Thank you. And then, have there been any changes to your promotion or compensation cycles or are those additional levers that you would have to control attrition, and what gives you confidence that attrition has stabilized?
Amit Singh: Martin?
Patricia Pomies: Sorry Martin, you told me? Okay, I’ll take this. Yes, we have been doing different approach in terms of benefits and compensation. I mean we are calling the total compensation line in Globant, we are talking about that these days, but that has to do not only with our long term incentive, but of course with the compensation package, with new benefit, things that our employees are eager to understand and are asking for some different things these days.  As you know, after this pandemic, I mean we have been with some stress and some burn out in some cases in the specific countries, so we haven’t been able to make partnerships with different platforms, with different kinds of specialists and we have put in place a program with psychologists and physic and everything that has to do with keep our mental and physical health for our Globers central. So I think all these things has to do with that Globant is not only taking care of the people that is working in Globant as Globers. Also we are taking care of the family and we are looking at that and we are looking after that. So I think it is interesting. That is our employee brand right, that is completely I think way beyond of others competitors in terms of what we can achieve and what we can offer as a culture and that makes a huge differentiation between other companies, that are thinking probably only attacking this with compensation. We are attacking this with different kind of 360 plan for us. 
Maggie Nolan: Thank you. 
Amit Singh: Thank you very much Maggie. Next, let's go to Arturo Langa from Itaú. Arturo?
Arturo Langa: Good evening guys. Thank you for the presentation. Congratulations! They are very useful to help understand your story. I just wanted to understand one, the situation point. I mean it's coming a lot from Argentina and maybe that has to do with the fact that some developers have access to a freelance market and therefore a more attractive sort of exchange rate than a regulated one in Argentina. How much of that factor would you say is contributing to that higher attrition in Argentina?And maybe if you can remind us, what percentage of total head count is currently or Argentina currently represents?
A - Martin Migoya: Yeah, if you can increase your mic Arturo, that's going to be great. If I got your question right, yes, clearly in Argentina – [Technical Difficulty] That's okay Arturo, we're good. That type of competition you know of people getting money abroad or people getting paid in crypto, I mean we have to live with that and we have many other things that we can do as a company to fight back or to help.  You know what happens is that at the end of the day when we look at who we are losing people to, we lose people typically to startups, typically to some small product companies and those are the ones that are using that market. More recently we've seen a lot of that happening. Eventually you know that's something that cannot last forever. It's in a way it’s unfair competition and eventually it should fix, but that's where people look, where we're losing people through, because of that type of market. Argentina, I mean again we are about 25% to foreign place in Argentina and attrition is you know, it's driven by Argentina, it's the highest number in the industry. And as you pointed out, it is related to the way some companies are compensating people and that's something that you know we cannot do basically. But that's pretty much, that’s around attrition now. Still keep in mind that as I mentioned before, we are seeing attrition stabilizing when we look at attrition per month. We are seeing that number stabilizing or even coming slightly down. You know keep in mind that we are coming from an extremely low number in Q2 last year you know when the pandemic started. You know at the very beginning there was pretty much no attrition, people were not changing jobs. Then you saw like a spike and then we started to see a more stable number when we look at the monthly number, right. That's where we feel that attrition has stabilized and makes us feel comfortable, but again we need to see how the market continues to evolve going forward. 
Amit Singh: I don't know if you have another question, but let's move on to the next analyst, Surinder Thind from Jefferies. Surinder, please go ahead. 
SurinderThind: Thank you for taking my question. I'd like to start a question about the elevated growth rate. Can you talk about it maybe from the perspective of the shape of the pyramid at this point and how that's impacting or is there a lot more junior hires at this point, and there was an earlier question about the promotion cycle. So when you're growing at you know a 20% headcount pre-pandemic, obviously there may be a two, three year cycle for promotions. When you're going at 50%. Is there a promotion cycle elevated? How are the teams adjusting? How's all that being structured and managed?
A - Martin Migoya: No look, I mean why – if we are growing fast as a promotion, the promotion cycles should change, I mean it doesn't make a lot of sense. Now, in terms of not because of how fast we are growing, but yes, because that we need to move faster because of the market and how hard is the market. Promotion cycles in itself has not changed and we won't change it. Now we are having like a more aggressive way to understand specific cases and go more into each case faster and that's how we are trying to tackle the situation we are getting now, of course always being cautious about the budget we have and the amount of money we have to be able to fix those cases. But we are not changing because of the growth speed, the cycles.  And the second part of your question, or the first one was? 
SurinderThind: The pyramid? 
Martin Migoya: The pyramid is still looking pretty much the same. I mean most of the hires that we do has to do with people that has from the outside, with people that has that knowledge. Also now we are putting together a lot of younger people without that specific experience with initiatives like what we are doing with Digital House and jointly with Mercado Libre, our program which is the certified tech developer.  Well, those things are bringing people from other places in the market to what we are doing today, and to the development world, and we are hiring them and we are training them, and those guys are starting to feel our thoughts. But in a sense I would say with this 50% growth or more than 50%, it’s like 65% growth year-over-year we are not seeing a massive shape on what we are hiring and how we are hiring, and we didn't change the mix of young talent as supposed to have more lateral hire and more already trained hiring.  So we're seeing that mix pretty much the same. But what we are doing is we're laying down with our - with all the efforts we are having to train women, to train young people, to retrain people and repurpose people from other jobs into these new technology area. We are settling the foundation to be able to grow much faster in the region than before, because we have all those tools to help us to overcome the shortage situation. So this is something that we are very proud of and we talk a lot about that. So that’s why I think it deserves a special mention on this chapter, and specifically to address your concern around what you just mentioned.
Diego Tartara: Can I add something on top of that? Hi Surinder, Surinder several years ago we started changing and switching our approach in terms of how we hire talent in the company. In the past we had like a very immediate approach, given the opportunity we went after the talent. We are now switching to a more proactive approach where we actually forecast our growth, the technologies, the trends and we hire talent in advance. That gives us the opportunity to properly train people, so when they get into the parts and start delivering, quality will not suffer. I think that change allowed us to support the growth we are seen today while maintaining quality. Another thing you mentioned with regards to the cadence of the growth and promotions for the people, that might have changed possibly, but not because of the market conditions. We started several years ago with something that we call MyGrowth, where we transferred, we created a platforms, we on-boarded what we call the work ecosystem for the different type of technologies and people can actually get a grip on their career, and that's very important. So we translated the career, but we gave our Globers tools to accelerate their development and that has been working very, very good for us. So I think the slight increase we are seeing, their response to that, not actually the market conditions.
Surinder Thind: That's helpful. And then as a related follow-up. This is maybe more for Patricia. Can you maybe talk a little bit about how one of the things that most employees, people look for is long tenured career path and opportunity, which you guys clearly provide here. But can you also talk about the intangible part of this which is from a cultural perspective or the culture that Globant is known for, as you kind of build up more distributed offices, as you build up more smaller offices and then the fact that again your hiring quite quickly, how you kind of then view that though the organization, because obviously you can keep people with compensation to some extent, but at the same time you're also trying to make sure that the culture stays intact, which is also gently important part of keeping the attrition rate low. 
Patricia Pomies : Well, thank you for your question. I think that it is really interesting to understand that right now what was the base of Globant that we are a digital native company, is really helping in order to how we are attracting that talent. Because we have our digital frame where you know that we used this agile pod. So from the very first beginning of this, I mean we have been making diverse teams. I think this has been teams that we have made from different countries, different places of the world and diversity is what give our culture, that sense of innovation and entrepreneurship, that is in the DNA of our culture.  And so I think that what is important to understand now is that that culture s in that. Of course we have been able to redesign the onboarding process for many Globers last year. We have hired many, many new Globers to the company. So how you attract that and how you retain them or how you sustain them.  So we are offering a unique path in terms of career. We don't work in silos in Globant. You can choose a career and you can change in the middle, you can change from location, I mean so those that means different kinds of things that has to do with the agility of this company and with the possibilities that has been a digital native company. According to the offices, what we are proposing these days is, we have open offices right, so and we are encouraging people to go to their offices for purpose or for this serendipity sessions or for things that well, when you want to share ideas or some places that having a coffee sometimes is better than probably having [inaudible]. But we are very respecting about what each Globers in the pods where they belong, want to decide to do. So today, what we are proposing is that inside the pod and the autonomy that we give to those pods decide what they want to do. If they want to go to an office twice a week, once a week or I don’t know, one per month. I mean this has to do with the nature of their projects that they are doing, and of course the needs of the clients. Our net promoter score has been I mean highest than ever in Globant this last quarter. So I think that means that our clients are really happy about what we are doing and we are over the range of the industry, that is around 30s, 40s and we are far away from that, we are around the 60s. So I think that that means a lot also for our culture. And I think that today what we are very like serious about, is about taking care of the people and in terms, as I mentioned before, in this holistic way. This things about offering career, the possibility to work with the top clients of the world. I mean North America had a tremendous growth this last quarter and we have incredible new clients with the new possibilities there to be creative, and you can do that from any place in the world. Of course we have offices and we still believe that offices are places that we want to keep and we want to, probably to really assign them, that is what we are doing in some places, doing more these kind of chill-out or workplace where creatively is a place where you can find it in the office more easily. So I think that in answering your question is has to do with keeping our culture of agility or being kind, not only with our peers, also with yourself. I mean I think that has to do with things that we have been our values for the last 16, 17 years. 
Amit Singh : Thank you very much Surinder. Thank you, Pat. The next question comes from the line of Arvind Ramnani from Piper Sandler. Aravind please go ahead. 
Arvind Ramnani : Hey, thanks Amit. Martin, I just want to go back to a conversation we had several years back, I think it was 2014, 2015 and you were saying it is a very – kind of you are limiting our growth, because to hire a bunch of people and get them trained and keep the culture was difficult. But now obviously the company has scaled, you have a lot more geo locations. Anyway you're hiring at a pace that was far greater than what it was six or seven years back and just with that backdrop, how are you able to sort of maintain that. In some sense it’s kind of large numbers as you grow bigger your growth rate comes down, but your growth rate is accelerating as you've grown much bigger in size. How are you able to sort of recruit those folks, and then kind of make sure the kind of organization is staying intact and the quantity staying intact? 
Martin Migoya: Yeah, thank you for the question. I will mention two things. The first is the use of technology to maintain the culture. Through StarMeUp and all the tools that we use, the idea of changing for example, the feedback process clearly, one feels a carrier to something that can be done at any moment and requested at any moment.  The notion of, that any idea or any act within the company that is connected to our value can be celebrated, can be understood, can be seen by others. That technology that we're using is helping us, and helped us a lot during the pandemic, to be able to keep our teams connected, but not connected among them, connected in terms of culture, connected with the core of our culture.  So the use of technology as I have been saying in many, many of my earnings calls, I think I have already like 50, I don't know 30, too many, 37 years, so about 30 earnings calls. I pretty much you know in every call I mention, using technology to augment your culture, using technology to maintain your culture is the essence of this business. Of course, it's not that easy to understand, but when you keep on growing and you see that that culture is being maintained, it’s extremely important to understand why, so that's one thing, how we use technology to connect and maintain our culture. And the second thing, I would say is that the concept of the pod, that Pat was explaining a few minutes ago. Having those pods that has a lot of degrees of autonomy, by the way just I announced today that you know we will give them the autonomy to figure out which is the best of the best idea to connect better with their customers and to serve better their customers and to decide from where they need to work. If they can combine office and home or they can do everything from home or they can do everything from the office, they will have the power to decide where to work from. So this is just an example of autonomy we believe and I believe, that if we keep on pushing the autonomy of those pods, and we keep on insisting on the concept of those pods are on the top of this organization, and that we are here all of the rest, we are here to serve those pods to be successful, then it's much easier to maintain, it's much easier to expand the organization when that’s a concept, when there's just a few layers between the top on the bottom of the pyramid, and our pods which are on the top connected with our customers, and just a few layers there is extremely important to understand that this is a reason why you can keep on scaling this organization beyond the traditional growth rate that we had before. I don't know, I can keep on going with this question for the next five years, but 
Diego Tartara: To compliment that on the physical side of things, we also took approximately two years ago – no, a little bit over that, we launch our TDCs initiative, the Talent Development Centers. These are geo locations where one of the first things we took care of is having proper technical representation. So approximately 40% of the headphone from studios, from studios management now has been the centralized locations, naming and getting the right people. So we have a technical ambassadors that have being longtime Globers, making sure that every office feels like Globant, so that complements our digital initiatives. 
Arvind Ramnani : Perfect! Thank you very much and good luck for the rest of the year. 
Diego Tartara: Thank you.
Martin Migoya: Thank you so much. 
[End of Q&A]:
Amit Singh : Alright, perfect! Thank you very much everyone. Unfortunately that's all the time we have today for the Q&A. Again thanks everyone for joining. I’ll now pass the mic to Martin for the closing comments. Martin, please go ahead.
Martin Migoya : Thank you very much everyone for coming here, for being here today. I know we are much more than what we have been in past earnings calls. We have made a huge improvement, so congratulations to all those who have been working on these huge improvements and how this earning call look like. I hope you enjoy it, otherwise we’re going to need to come back to the best one.  So I hope you enjoy it. Looking forward to see you next quarter, and thank you as always for your support and understanding, and for covering us the way you’re doing. Thank you so much. Bye-bye! 
Amit Singh : Thank you.